Brian Butler: [Starts Abruptly] Today we'll be discussing our first quarter 2025 results, which were released yesterday afternoon. I'm joined by John Casella, Chairman and Chief Executive Officer; Ned Coletta, our President; and Sean Steves, Senior Vice President and Chief Operating Officer of Solid Waste Operations. After a review of these results and an update on the company's activities and business environment, we'll be happy to take your questions. But first, please be aware that various remarks we make about the company's future expectations, plans, and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recently filed Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views in any subsequent date while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today, May 2nd, 2025. Also, during this call, we'll be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent they are available without unreasonable efforts, are included in our press release filed on Form 8-K with the SEC. And with that, I will now turn the call over to John Casella to begin today's discussions. John?
John Casella: Thanks, Brian. First, a quick update. Brad came down with a fever this morning and he is out sick. So, I asked Ned to come out of CFO retirement for a few hours today. I just wanted to bring that to your attention. Welcome to our first quarter 2025 conference call. Before I review the highlights of the quarter, I'd like to take a minute to recognize several of our team members who exemplify our core values and put service to our communities first while operating in a safe and responsible manner. We're proud to have three drivers recognized under the National Waste and Recycling Association's Driver of the Year program through their focus on safety, operational excellence and being strong representatives of the Solid Waste industry. They are Frank Corl, Juan Caraballo, and Daniel Hale. In addition, Julia Potter, our Director of Business Transformation, was named to Waste360's 40 Under 40, an annual award recognizing professionals under 40 whose work has made significant contributions to the industry. These employees will all be recognized at WasteExpo next week. At a company level, Casella was recognized under Forbes 2025 Americas Best Midsized Employers list. As I often discuss, our core values and culture are very important to us and are central to everything we do. So it's gratifying to be acknowledged externally. Shifting to the results. As you saw in our earnings press release yesterday, we started the year strong with revenues, adjusted EBITDA, and adjusted free cash flow all up over 20% year-over-year in all records for the first quarter. The winter was particularly challenging in the Northeast this year, but we exceeded plan and delivered results, which was a function of great effort and execution across the organization. Operationally, we continue to make excellent progress on initiatives to expand fleet automation, onboard computing, internalize incremental volume into our landfills, and improve employee retention. Each are yielding results. These advancements are occurring at the same time as our ongoing integration efforts, which are successfully working through two years of record M&A. It's impressive and speaks very well of our entire team, who are truly going above and beyond. In the Landfill business, we reported organic growth exceeding 7% with positive contributions from both price and volume. We are focused on internalizing more of our owned tons, which Ned will discuss in more detail in a few minutes. On the collection side of the Solid Waste business, pricing momentum was positive at 5.8%, more than offsetting a volume decrease of 1.7%, which included slower roll-off volumes during a challenging winter. Pricing continued to exceed internal inflation, which, combined with operating initiatives, expanded margins by 140 basis points in our legacy collection operations. Resource Solutions continues to perform well with the first quarter results benefiting from the ramp-up at the recently upgraded Willimantic recycling facility and strong organic growth of over 10% in our National Accounts business, as that group continues to gain traction with larger accounts in our new geographies. We also continue to execute our acquisition strategy having closed four deals year-to-date with approximately $50 million in annualized revenues. Looking ahead to the remainder of 2025, our active M&A pipeline is full. Our strong balance sheet positions us to continue to complete deals opportunistically. The first quarter was a nice start to 2025 and a product of hard work, with our core operating strategies working well, while tariff and macro uncertainties have been recent topics of investor concerns, the nature of our Solid Waste business reduces the impact of economic swings and our domestic focus limits exposure to tariffs. We remain confident in our 2025 outlook and continue to see opportunities for future value creation. And with that, I will turn it over to Ned to go through the financial details.
Edmond Coletta: Thanks, John. Good morning, everyone. Before I get into numbers, I'd like to take a moment to welcome Brian Butler to our team as Vice President of Investor Relations. Brian joins us from Stifel, where he was most recently the Lead Equity Research Analyst for the Waste sector. And as Michael Hoffman's longtime partner, he was one of the most tenured Waste analysts on Wall Street. He brings deep corporate finance skills, industry knowledge, and investment perspective to our team. We're very excited to have Brian join the Casella team. Now on to the financial results for the quarter. Revenues in the first quarter were $417.1 million, up $76.1 million year-over-year or 22.3%, with $57.3 million from acquisitions, including the rollover and $18.4 million of growth from organic growth or 5.4% year-over-year. Solid Waste revenues were up 25.9% year-over-year, with prices up 5.6% and volumes slightly down, down 1.7%. Within Solid Waste, pricing and collection line of business was up 5.8% with volumes down 1.7%. Price was strong across the board, led by a positive 6.5% price in the Front Load Commercial business. From a volume standpoint, we saw softness in the roll-off line of business across our footprint this quarter. Some of this can certainly be attributed to the challenging winter weather in the Northeast, but we also observed some slower economic activity in several of our markets. However, it's hard to draw firm conclusions from the first quarter roll-off volumes as we're seeing nice strength in seasonal uptick into April and early May. Price in the disposal line of business was up 5.5% year-over-year and volumes were down 2.2% with softness in third-party transfer station volumes, which is really related to soft roll-off volumes in the quarter. Results in the Landfill business were strong with prices up 3.3% and tons up 3.9%, including volumes across all major waste streams. The average price per ton was up 4.8% in the quarter. Resource Solutions' revenues were up 9.5% year-over-year with recycling and other processing revenue up 7.4% and National Accounts up 10.9%. Within the processing operations, price was up 3%, with average commodity revenue per ton relatively flat year-over-year. Commodity prices overall remained stable this year, with recent softness in the fiber market, largely offset by strength in plastics and aluminum. Processing volume in revenue terms was up 2.6% with growth in both recycling and municipal biosolids processing. Within National Accounts revenue, price was up 3.9% and volume was up 7.4%. Adjusted EBITDA was $86.4 million in the quarter, up $15.4 million or 21.7% year-over-year with positive contribution from acquisitions and organic growth. Adjusted EBITDA margins were 20.7% in the quarter, down 10 basis points year-over-year, but in line with our budget. Bridging the year-over-year change in adjusted EBITDA margins in the quarter, an adjustment to long-term stock-based compensation expense, driven by our improving outlook against long-term targets, impacted EBITDA in the quarter by approximately $2.6 million, which represents about 60 basis points of margin headwind. Excluding this adjustment, margins were up approximately 50 basis points year-over-year with margin expansion in the base business and the net tailwind from acquired operations. Cost of operations were $280.5 million in the quarter, up $49.7 million year-over-year, with $44.4 million of the increase from acquisitions and $5.3 million in the base business. Cost of operations in the base business were down approximately 200 basis points as a percentage of revenue in the quarter, primarily reflecting the continued operating leverage and benefits from our key strategies in the collection line of business. General and administrative costs were $56.5 million in the quarter, up $12.2 million year-over-year. Excluding the stock-comp adjustment I just mentioned, G&A costs were down 10 basis points as a percentage of revenues. Depreciation and amortization costs were up $17.5 million year-over-year with $15.5 million resulting from the recent acquisition activity, including the amortization of acquired intangibles. As a reference, D&A associated with acquisitions was approximately 27% of acquired revenues in the quarter as compared to about 16% in our base business. Adjusted net income was $12.2 million in the quarter, or $0.19 per diluted share, up $3.5 million or about $0.04 a share. GAAP net loss was $4.8 million in the quarter, impacted by about $6.9 million of increase in amortization of acquired intangibles year-over-year. Net cash provided by operating activities was $50.1 million in the first quarter, up $42.4 million year-over-year, driven by strong EBITDA growth and a more normalized seasonal working capital outflow as compared to last year. Our DSO was steady at 36 days from December 31st. As you may have noted last night in the press release, adjusted free cash flow was $29.1 million, a record for the first quarter. Capital expenditures were $55.5 million, up $25.2 million year-over-year, but included $25 million of upfront investments in recent acquisitions in line with our full-year plan and the pro formas for each transaction. As of March 31st, we had $1.15 billion of debt and $268 million of cash and our consolidated net leverage ratio for purposes of our bank covenants was 2.45 times. As of today, after the recent acquisitions completed thus far in 2025, we maintain approximately $900 million of availability between excess cash and our undrawn revolver. Our liquidity and leverage profile will enable us to be opportunistic in continuing to execute our growth strategy and robust M&A pipeline. As announced in our press release yesterday, we reaffirmed our financial guidance for 2025. We started the year strong, but it would be premature if we consider our initial guidance ranges, particularly in light of the heightened macroeconomic uncertainty. Regarding the economic outlook, we believe that our exposure to tariffs is low, as John mentioned, given the nature of our cost structure, we've seen virtually no efforts by vendors to date to pass on tariff-related increases, but we're closely monitoring the situation and we're in dialog with key vendors to understand potential impacts as the situation evolves. In the event that we do face tariff-related cost increases, we have multiple options to offset such tariffs on the revenue side. Now moving on to the operations highlights for the quarter. As discussed by John earlier and in the financial dialog, organic operating trends were very positive in the first quarter as mid-single-digit pricing combined with new business wins in our Resource Solutions group and cost-efficiency gains from operational initiatives offset headwinds from lower collection and transfer station volumes in the quarter. From an operating standpoint, we continue to execute well on our core programs, including automated truck conversions, route optimizations, and extra revenues generated through our onboard computing. Our 2025 plan includes adding approximately 40 more automated trucks eliminating over 50 rear-load trucks. As a comparison, in 2024, we added 17 automated trucks, which eliminated 22 rear loaders. After completing a full technology retrofit during the second half of 2024, we brought our Willimantic recycling facility back online in January. The facility is performing well and is on track to deliver $4 million of targeted incremental adjusted EBITDA in 2025. We continue to evaluate other opportunities to advance our recycling and resource management infrastructure with several additional facilities that could potentially benefit from conversions in the coming years. Our sales team remained diligent in the first quarter, successfully winning $22 million in new annualized revenues with premier customers in key market segments, including municipal, industrial, multisite retail, and high institutional and higher education. Overall, new business growth remained strong in the first quarter, slightly ahead of our 2025 goals. Our Resource Solutions business also delivered strong revenue growth with first quarter National Accounts volumes increasing 7.4% year-over-year, given the strong sales efforts. Landfill volumes showed improvement in the first quarter, up 3.9% year-over-year as the C&D market headwinds that we experienced in 2024 have subsided and we've begun to see the benefits of a revamped landfill sales process and our efforts to increase internalization of volumes. We expect that these positive tailwinds will remain throughout the remainder of 2025. Acquisitions remain a strategic priority for our team with a focus on opportunities that have great operational fit, allowing us to advance the densification of routes, drive margin improvement through application of our key operating strategies, and establishing new adjacent markets that support future growth. Our active M&A pipeline is over $500 million of revenues in various stages of engagement. As we look ahead, we remain very well-positioned to deliver attractive organic growth combined with strategic acquisitions. We have limited exposure to tariffs and a resilient business model in the event that the economy does slow. With that, I'd like to turn it back to the operator for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from the line of Adam Bubes from Goldman Sachs. Your line is open.
Adam Bubes: Hi. Good morning.
Edmond Coletta: Good morning.
Adam Bubes: Nice to see the positive landfill volume trajectory in the quarter. Just wondering how much of that is the loss construction and demolition volumes flowing back to you 1Q versus 4Q? And is there still room for continued recovery there as we move through the balance of the year?
Edmond Coletta: Yes. Thanks, Adam. Great question. So as you mentioned, we had a really nice first quarter. Last year, we had those negative headwinds coming from Long Island as that site closed and there was a little bit of competitive tension. But our rebound this year in the first quarter, about a third of it is us recapturing construction and demo tons in that New York market. About two-thirds is related to our efforts in 2024 to get new transportation lanes in place to internalize additional tons. And we've been working hard to set up a new strategic sales organization around landfill sales, special waste, and just taking a look in the mirror of what we can improve to become more effective on the sales side there. So it's just three. It wasn't just the market bounce-back and we sat back. We also, I think, as you know, we're working really hard in 2024 to make our own future as well.
Adam Bubes: Great. And then as we think about your landfill positioning today and opportunities for incremental internalization, can you just help us think about sort of how much unfilled annual landfill capacity you have today? I think McKean is close to 1.5 million incremental capacity, but just trying to figure out where else there is slack for more internalization of third-party tons.
Edmond Coletta: Yes. So not including that extra capacity at McKean, we're running at, sorry, we're running about 30% capacity -- 30% excess capacity today through our business model with the vast majority of that being in New York State. We have opportunities, of course, to drive more volume to our Hake's C&D landfill in New York, more volume to our Hyland landfill in Ontario and New York as well. If we see further market constraints, those sites are ready to ramp further. As you mentioned, McKean, if you bring that into equation, there's even more capacity is 1.5 million tons a year that's virtually untapped. We continue to work really hard, looking at a few select third-party opportunities to go into McKean. And as we've talked about over the last number of quarters, McKean, mainly a defensive strategy for us as we look to the Northeast, and if there are additional landfill closures, we really need that long-term security for our customers, our communities to have good, safe, environmentally sound disposal capacity. So it's not like we're putting our foot to the floor and trying to ramp up McKean. It's a 10-year, 20-year strategy for us from a risk mitigation standpoint.
Adam Bubes: And then last one from me, can you just provide an update on the Juniper Ridge landfill gas plant ramp? And any update on timing on the three plants in partnership with Waga? Thank you.
Edmond Coletta: Yes. So I'd like to just start by saying that our strategic decision to not invest -- as Casella in these R&D opportunities was a good decision. We're not an energy company. We're a resource management company. We knew we should find great partners to do that with. And I think, as history has shown over the last couple of years, these are complex projects to get online. You need to have a lot of expertise in how to clean gas, how to get into pipeline quality. And the Juniper Ridge project is online now. It's been online for a number of months, but it's operating at like 10% or less production levels. The team at BP, Archaea is working hard to get it ramped up to normalized levels. We hope to see that throughout this year. Moving over to Waga, our partner from France, that's developing facilities at our Chemung, our Hyland, and our McKean landfills. All of those projects are moving along well. We expect the first ones to come online in the third to fourth quarter this year, and we're really hopeful that the technology they bring to the table and the approach will help us solve some of these gas issues we've seen at Juniper Ridge in North Country landfills.
Adam Bubes: Great. Thanks so much.
Edmond Coletta: Thank you.
Operator: Thank you. One moment for the next question. Our next question will be coming from the line of Trevor Romeo of William Blair. Your line is open.
Trevor Romeo: Hey, good morning, guys. Thanks so much for taking the questions.
Edmond Coletta: Good morning.
Trevor Romeo: I had one on price, I think 5.6% for solid waste in the quarter. I think that was a little above your full year expectation. I guess are there any areas where you saw pricing stick a little bit better than you expected? And then thinking as we move throughout the rest of the year, is there any reason to think whether it's either mix or underlying environment or anything like that? Any reason you might see a deceleration from these levels in the next few quarters?
Jason Mead: Hey, Trevor, it's Jason. I'll answer the question here. So our pricing in the first quarter was slightly ahead of budget. So off to a good start in the year. And as you know, I believe much of our pricing goes out early in the year, in January upwards of 70% of our budgeted price increases. So we're out the door with most of our pricing for the year and off to a great start. Our pricing guidance for the year is approximately 5%. That still holds true. Typically, we do see a little bit of moderation through the year with select pricing rollbacks across customers. But as you know, we have had a history of pricing in excess of our budgeted levels. However, as it stands today, our guidance is still 5% for the year, which is in excess of our cost inflation that we're experiencing. So we're getting a modest to moderate spread on that, which is nice. In terms of customer groupings, I would say that in the collection line of business, a strong start there from a commercial perspective, with pricing on the higher end of our expectations from a pricing perspective. Roll-off may be a little bit weaker given some softness across the volumes and that's something we'll continue to monitor through the year. Landfills, we've gone to market with budgeted pricing and we've hit the mark there.
Trevor Romeo: All right. Thanks, Jason. That's helpful. And then I did want to ask on your integration efforts. I think you mentioned a little in the prepared remarks, just a lot of activity in the past two years, a few kind of larger ones toward the end of '24. How have all those integrations progressed thus far relative to your expectations? And then in terms of, I think, Ned you mentioned there was a net margin tailwind from acquired businesses if I heard you right. So just thinking of efficiency and synergy capture and such, how has all that kind of performed so far for those acquired businesses? Thanks.
Edmond Coletta: Yes. So we've -- as we've acquired more and more businesses, we've looked to institutionalize and create best practices and we've stood up a full-time integrations team as well as many of our department heads and business leads helping as well. And you're always chasing kind of the bottleneck of that process of where you can improve. And I'd like to say like on the operating side, the teams are doing an amazing job on the HR side, we're really getting things done well early on, getting things onto our core systems, our core financial processes. I think we're doing well getting over to our financial processes. The system side is probably the most complex and where we have the most lessons learned and the most friction today and we will continue to get synergies and value-creation. When you look at the original pro formas for each transaction, we're ahead of the game. We're doing an excellent job. Our team did a great job recognizing the ongoing earnings potential of these businesses and then where we can improve them given certain operational or back-office synergies. As I said a minute ago, we're probably a beat behind on systems, IT, and there'll be more value-creation. And then getting the trucks. A lot of acquisitions we do have old rear load trucks and Sean and his team have great strategies to automate in each of those markets. And that's really the pain point sometimes is getting those trucks fast enough and allowing us to reroute do automation and get trucks off the road.
Jason Mead: I think it's clear, too, that the IT situation represents a real opportunity for the future and moving to a new lead-to-cash system is going to really create a significant amount of value over the long-term. The other really interesting aspect of that is it's really -- without a great deal of risk, because we're currently on Soft-Pak, we're going to move to a newer version of Soft-Pak. So our majority of the company is on Soft-Pak now. It's just an old version of it. We're moving to a newer version of it. So it's going to add a lot of value as we incorporate some of the other systems that we've inherited from a M&A standpoint. So another nice opportunity over time to create additional value as Ned said.
Trevor Romeo: All right. Thanks so much, guys. Appreciate it.
Edmond Coletta: Thank you.
Operator: Thank you. One moment for the next question. And the next question will come from the line of James Schumm from TD Cowen. Your line is open.
James Schumm: Thanks. Good morning, guys.
John Casella: Good morning.
James Schumm: So I wanted to -- you made four acquisitions with $50 million of annualized revenue. I wanted to understand how much of that is incremental to the annual rollover guidance that you gave to revenues.
John Casella: About $10 million of it, $40 million of it was already in the guidance.
Edmond Coletta: You got the rollover from last year. You have what we did early this year before we announced Q4 and then you have what's done in between Q4 now, and to John's point, the incremental from that initial guidance in February to now is $10 million.
James Schumm: Understood. Thanks. And then I wanted to understand the disposal volumes. So your disposal volumes are down, but your landfill volumes are up nicely. So that's implying -- is it that the transfer stations are very weak from roll-off is it? Is that what's going on where maybe you had roll-off work that would go to a third-party landfill that really got weak or just help me understand the sort of dynamic there?
Edmond Coletta: Yes, excellent question. It is a bit nuanced. And it really also illustrates how strong our landfills really were. So we recognize revenues for disposal through different points. Some can be through a transfer station that could go to our own landfill or third-party site. We also have a transportation area in our business where we might transport materials from a site to our landfills. And then we recognize revenues directly at the landfills. And when we're talking about statistics, it's always the third-party revenue at one of those points. So disposal overall covers transfer, transportation, and landfills. And to your point a minute ago, across the eastern part of our business, so Massachusetts, New Hampshire, to Maine, roll-off activity was pretty weak through the first quarter. And it wasn't just our own trucks, it was third parties coming into our transfer stations. But when you look at landfills, we were up pretty strong year-over-year and that just speaks to us overcoming that negative headwind in the first quarter on some of the transfer weakness, roll-off weakness, and then just our efforts to get internalization from new streams that we've discussed the last few quarters as we've done acquisitions, our ability to recover some of the C&D tons in the New York market and just broader sales activity. It really shows how strong that was in the quarter. As I think I mentioned in the finance script, each year the spring breaks a little differently in the Northeast and the United States. This was a tough winter and we don't ever make weather excuses but like it was a tough winter. We got tens and tens of feet of snow in the mountains, and economic activity was a little bit lower around that, especially on the construction side. As you see the beautiful weather break into late March, now into April, into May, we've seen a really nice seasonal uptick. And as I said, it comes a little different each year. This year, April is stronger than March and stronger than we expected. So we don't want to make an economic call, but that's always something we're watching in the winter through the spring.
Trevor Romeo: Okay. That's encouraging. All right. Thanks guys. Appreciate it.
Edmond Coletta: Thank you.
John Casella: Thank you.
Operator: Thank you. [Operator Instructions] And the next question will come from the line of Stephanie Moore of Jefferies. Your line is open.
Stephanie Moore: Hi. Good morning. Thank you.
Edmond Coletta: Good morning.
John Casella: Good morning.
Stephanie Moore: I wanted to ask, first question, just a clarification question. Did you highlight or call out what the weather impact to the first quarter was either from a revenue or margin standpoint?
Edmond Coletta: No, we didn't. I think we always kind of take the perspective of we work outside every day, and we work in New England in the Northeast. So it comes and it goes and we tried and make do with what happens. I think our perspective was -- it was just a challenging winter. It's probably one of the factors of why roll-off tons and transfer tons were a little bit weaker, but we didn't start to try and figure out on weather days, how much things were down. I think as an organization, if we have like a big hurricane or something like that, we'll dig in and do that, but just a tough winter, we won't.
John Casella: And I think that we saw, looking at February, in particular, year-over-year, volumes were a little bit weaker, probably because of the weather. And then in March, they got a little bit better year-over-year as spring started to open up a little bit in the Northeast.
Stephanie Moore: Got it. Okay. No, that's clear. And then maybe taking a bigger picture question or I think you're very clear about the opportunity from internalizing volumes, particularly, after doing M&A and just some of the dynamics in the Northeast. But just for us, as we continue to monitor and watch your M&A activity, is there a way for us to think about the expected EBITDA contribution from internalization? So like every 100 basis points of improvement or increase in internalization, what that could actually translate into from an EBITDA or margin standpoint just kind of rough numbers there. Thanks.
Edmond Coletta: That's a complex question. So I think we have to discuss probably with specific acquisitions where there's an opportunity as we -- last couple of years, we've had a couple of great ones that have led to some nice internalization benefit on Twin Bridges in the Greater Capital District of New York, Royal down into the Duchess County and North of Westchester. Both of these were areas where we were not internalizing tons from either of these competitors in the market. And as we often talk about, on day one, we don't just move the tons. There are many long-term disposal contracts in place. You also need transfer capacity, long-haul capacity. So it steps in over the years. And some of what we're seeing and the benefits we had in late '24 into now are those steps taking place. So it's a little hard to say an acquisition happens one day, and then we get a certain benefit. It's very acquisition-dependent. And I think as we guide or can give more specifics on a transaction, we'll try to lay that out, Stephanie.
Stephanie Moore: Absolutely. Well, I appreciate the time. Thanks, guys.
Edmond Coletta: Thank you.
John Casella: Thank you.
Operator: Thank you. And our next question will be coming from the line of Tony Bancroft of Gabelli Funds. Your line is open.
Edmond Coletta: Hey, Tony.
Tony Bancroft: Good morning. Hey, how are you guys? Great job. Well done as usual. Again, probably more bigger picture question falling in that line. But maybe you could talk a little bit, just you've been doing so much M&A, and it seems like you've had some pretty successful acquisitions in recent years. Something more transformational. I know some of the industry has done some more transformational things or something outside your core business, maybe new markets, maybe outside your adjacencies, have you thought? And then would you use, obviously, you performed so well, your stock price has performed so well, potential for using stock in any of these potential transactions? And you just mentioned how many great ones you've -- some great acquisitions you've had. How many would you say? Is there a handful left of great ones left in the Northeast, some of these great larger, mid-sized, larger operators, what's out there?
John Casella: Tony, this is John. I think that Ned laid out that we're working on about $0.5 billion of opportunities now. Those opportunities are all in various stages, but that's really right down the middle of the fairway in terms of our core competency. You're not going to see us outside of our core competency getting into other verticals that, at least in our view anyway, makes sense to stick to our core knitting, continue to tuck-in in the Northeast and in the Mid-Atlantic. Continue our strategic direction, which we've indicated that the Eastern Seaboard is where we'd like to continue to grow strategically. So we've got a tremendous opportunity in our core competency, and we're going to stay with that meeting. It's created a lot of value for all of our shareholders, and it's clearly the way that we believe we can create the most shareholder value on a go-forward basis.
Edmond Coletta: And I mentioned in the financial script that we have about $900 million of availability between our current cash and the revolver. So as we sit here today, our near-term pipeline, we've got plenty of liquidity and meet our needs. But Tony, I think, as you know, we've been opportunistic over the years, and when the right opportunity is there, we try to fund it with about half equity, half debt.
John Casella: Yes. And I think to Ned's point and your question before, we don't have anything transformational in the mix at this point in time. It's really kind of steady as you go. Certainly, that can change, as you know. But currently, there's nothing transformational that we're looking at, currently.
Tony Bancroft: Thanks so much. Keep doing it. You're doing great. Thank you.
Edmond Coletta: Thanks, Tony.
John Casella: Thanks, Tony.
Operator: Thank you. One moment for the next question. And the next question is coming from the line of Timna Tanners of Wolfe Research. Your line is open.
Timna Tanners: Hey, good morning.
John Casella: Hey, Timna. Good morning. How are you?
Timna Tanners: Wanted to just ask a high level question. So given that you had a strong first quarter, you just told us there's an additional $10 million of revenue from recent acquisitions, but you didn't change your full-year guidance. And you also said that the C&D market seems to be improving, which would be a big cyclical part of your business, typically. So I guess the question is, what does it take to get more positive on the full year with all those components? Is it just more time or is there anything specific you're looking at?
John Casella: Well, I would really like you to be able to predict what's going to happen next with the Trump administration right? If you could do that, we could probably get a little more aggressive.
Edmond Coletta: Yes. So but it's a good point. Like over the years, we just really haven't changed guidance all that often in the first quarter. It's just not something, unless there is something really out of the norm, we typically keep away from it. We're trending mid-to-high range across all categories, and it's a nice start to the year for us. And we're hopeful that given where we sit, we'll be in a position to hopefully raise guidance in future quarters, but it's a little early in the year from our vantage point to do that.
John Casella: In our guidance that we initially laid out back in February, our organic growth was 3% to 5% top-line revenue. So it's a bit of a wait-and-see at this point in terms of us getting through the year, more visibility to roll-off in the landfills as we enter the next several months. So more to come from there.
Timna Tanners: That makes sense. Thank you. And then similarly I'm wondering if some of this uncertainty that you referenced is impacting your acquisition candidates or how they're looking at their business future?
John Casella: I don't think that there's -- we really haven't seen much of an impact at this point in time. I think we spend a lot of time building relationships with people in the industry. I don't know that there's anything specific that we're seeing that's causing anything one way or the other in terms of movement one way or the other, more positive or negative at this point in time. It's really more steady as you go in terms of what's happening from an M&A standpoint. There could be some implications, obviously from a tax perspective, but it's nothing really of any significance from an impact standpoint on M&A.
Timna Tanners: Okay. I appreciate it. Thank you very much.
Edmond Coletta: Thank you.
John Casella: You welcome. Thank you.
Operator: Thank you. This does conclude our Q&A session for today. I would like to turn the call back over to John Casella for closing remarks. Please go ahead.
John Casella: Thanks, everybody. I look forward to you all joining us for our second quarter conference call in July. Thanks, everybody. Have a great day.
Operator: Thank you for joining the conference today. You may all disconnect.